Operator: Good morning, ladies and gentlemen. Welcome to the Canadian Energy Services & Technology Corp. conference call and webcast with respect to the recently-announced first quarter 2014 results. Presenting for the Company today will be Mr. Tom Simons, President and Chief Executive Officer, and Mr. Craig Neiboer, Chief Financial Officer. Please be advised that this call is being recorded. A question and answer session will follow the end of the presentation. I would now like to turn the conference call over to Mr. Craig Neiboer, Chief Financial Officer of Canadian Energy Services & Technology Corp. Please go ahead, Mr. Neiboer.
Craig Neiboer - Chief Financial Officer : Good morning, everyone, and thanks for attending the call. Before we start I’d like to note in our commentary today there will be forward-looking financial information and that actual results may differ materially from the expected results due to various risk factors and assumptions. These risk factors and assumptions are summarized in our Q1 MD&A, our Q1 press release, and in our AIF dated March 13, 2014. In addition, certain financial measures that we will refer to today are not recognized under current general accepted accounting policies and for a description and definition of these please see our first quarter MD&A. At this time I’d like to turn it over to Tom Simons, our President and CEO.
Tom Simons - President & Chief Executive Officer: Good morning. I’m going to give an operations update, a technology and infrastructure update, and turn over the financial part of the call to Craig, and then we’ll open up the call to questions. Obviously the Company had a very nice quarter. We had record revenue and EBITDA. We had all segments of the business making very strong contributions. I’ll start with Canadian mud. We had significant success with what I would call our deep-hole solutions like EnerCLEAR, one of our long-standing products, Seal-AX, a big share of the Montney market seeing customers looking at the Duvernay, lots of other formations that people are seeing liquids with their gas. We had a great quarter in the SAGD and heavy oil cold recovery market and we had a nice bit of business in the oil sands delineation market. I’d like to add that in Canada we introduced a new disposal solution that looks to have commercial legs going forward in the SAGD market and we think we can build some IP around that and we have a live customer for that product offering. In the U.S. on the mud side at AES, Eagle Ford was very strong, Mid-Continent had a strong quarter, northeast kind of bottomed out and we’ve started to see with gas prices coming up an increase in activity there and are looking for that to be a nice contributor for the rest of the year. In the Permian we’ve been seeing increasing revenue and profitability as we’ve introduced new products to that market and as our customers have taken more wells horizontal. We commercially launched a new oil-based mud in West Texas this quarter. It’s a clay-free invert. What it offers our customers is a fluid that properly or successful cleans the hole without causing excessive surge and swab pressure, which can cause very expensive lost circulation. We’ve currently got one customer using that on multiple rigs. We think that that’s going to be something that’s going to be a big tool for us. We commissioned our first oil-based mud plant in West Texas. We think that that’s going to allow us to capture greater margin and it will signal, I think, increased capabilities to our customers and hopefully create confidence for them to give us more work. We are expecting to build a second liquid mud plant in West Texas that would allow us to properly service and cover work in New Mexico and sort of the northwest part of Texas. At PureChem/JACAM, in Canada at PureChem we’ve been expanding nicely into Alberta. We’ve been increasing revenue and profitability there. We’ve had a very, I’d say, good acceptance for our frac chemistry in the Canadian market and are looking in the year to try to penetrate the heavy oil and oil sands market for PureChem. At JACAM I think the highlight of the quarter has been that we’ve been adding new talent to allow for future growth. We’ve been talking a lot about our infrastructure and technology developments in JACAM. What we need are people on the ground that can deliver that service, cover the customer, give the customer confidence to hire us. We went live with four reactors that produce what we call solid chemistry in the quarter. Those are already opening doors for us in new markets. It’s a novel way to put chemistry that solves down-hole problems at the source of the problem and sort of treat the problem from the bottom up rather than the top down. We’re seeing this technology being adapted by some very big names in the U.S., with significant acreage in both Canada and the U.S. We’ve had several months now of revenue in the Eagle Ford and northeast U.S. and are encouraged that we can organically build out in those markets. We continue to look for ways to penetrate the Permian market. That could include something transactionally but we’re certainly looking for talent. We have existing customers that ant us in that basin and obviously it’s the most active drilling market and legacy production market in the U.S. We see a very strong second half of the year for 2014 for JACAM and are encouraged by what will happen for us there. Back in Canada with Clear Environmental, the group had a very nice quarter in their historical business in disposing of drilling fluid waste. The thing to note there is that water management has become a new need for the customer and Clear is becoming, we think, the leader in that space for our customers. We think that could be a nice add for this business and a very big opportunity. Within EQUAL and JACAM we obviously have trucks on the road. We’re not looking to be a trucking company but these are strategic or critical tools to help our consumables get to our customers, and we’ll continue to use those groups to execute our business. About technology and infrastructure, we’ve successfully introduced oil-base mud emulsifiers for our U.S. group that are being manufactured in JACAM. We think we’re just scratching the surface here in using our own chemistry. We are working on lubricants for both oil based and water based customers or mud systems for customers that can be produced in JACAM. We have several major customers that have got specific needs that we think we can solve in JACAM and get through the drill bit. As I noted earlier, we’ve introduced a clay-free oil-based mud in West Texas. We think that as we develop that system and build out a market it may have applications in other places like Resthaven, Kakwa, Deep Basin kind of market. We’ve also had work in West Texas that’s recurring with a new technology that we brought to the company this winter called mixed metal hydroxide. We’ve had recurring horizontal work happening in West Texas and have had success using that technology in different hole intervals in Western Canada. About infrastructure, our organophilic clay plant will start production in Q2. This plant ultimately will produce three different product lines. We’re going to start with the most basic product, which will initially self-supply AES, and then over the next couple of years add the other two key products that we need to supply ourselves and then we think eventually sell into the broader oilfield market. Craig and I had a chance to visit Corpus Christi last Thursday. I can report that there’s a lot of concrete being pumped into the ground to stabilize our yard where that mill and warehouse will be. A significant amount of that AFE is grouting or putting concentrate into the ground to stabilize where this equipment and where these heavy rocks will be. We’ve remained confident that we’ve picked the right location to base our barite supply out of. To remind everyone, we’ll bring ships into Corpus Christi. They’re full of heavy rocks. That mill will crush them into a finished product and then we will use that throughout all of our North American work to change the density of drilling fluids. We think that plant can also be a tool to do swaps with other barite or minerals companies and we think it will allow us to sell that product into the broader drilling fluid market. Our expectation is that this mill will be commissioned in late Q3. As I said earlier, the Permian mud plant was commissioned in Q1. We think that’s a significant step to growing that market. We are planning for a second plant later this year. Of course, that’s in a market of 400 to 500 rigs, which are increasingly turning horizontal, which means that those rigs need to run oil-based muds. Our hydrogenation construction in Kansas remains underway. We expect that to come on line late in the year. That will give us an increased product lineup, it will create margin in our existing products and, we think, allow us to penetrate both sort of new geographic markets in the U.S. and possibly industrial markets. To summarize, across the board we expect the second half of 2014 to be very busy. Cash flow for our customers is up. The Canadian oil producers have obviously narrowed differentials by using rail to get their product to market. Gas prices are up for Canadian and U.S. customers. We think that our infrastructure and technology that is coming on line will be very well timed to meet both rising demands and opportunities. I’ll turn over the rest of the presentation or call to Craig, and then we’ll be happy to take questions.
Craig Neiboer - Chief Financial Officer : Good morning, everyone, once again. Very excited to discuss our record results for Q1. $231 million of revenue in Q1 2014 versus Q1 2013 of $149 million; EBITDAC of $43.5 million for the quarter versus $23.6 million from the previous year’s quarter, almost a double on that; and, more importantly, what you can see is the power of our free cash flow model on a per-share basis as EBITDAC per share is to $0.65 versus $0.40 in the comparable Q1 of 2013. The Canadian business, as Tom touched on, performed very well in Q1 and continued the momentum that it had from Q4, almost $107 million in revenue versus $67 million the previous year. The U.S., despite some weather challenges that reduced activity and increased some of the cost to deliver our services, also performed very well for the quarter with $124 million, up from $82 million in the previous year Q1. With all these positive results and the outlook that Tom gave you, we are sticking to our guidance, $760 million to $820 million of revenue, $135 million to $150 million of EBITDAC, and we also announced yesterday that we’ve increased our dividend for the tenth time since January 1, 2010 to $0.075 a month or $0.90 on a per-annum basis. Based on our guidance numbers, that will put us somewhere in the mid-50s for a payout ratio, which I historically for us at the very low end of the range. We also announced yesterday that we intend to seek shareholder approval at our AGM for a three-for-one stock split. We think that will improve the liquidity of the stock and make it more accessible to investors. At this time I guess we’ll turn it over to all of you on the call for any questions that you may have.
Operator: Thank you. We will now take questions from the telephone lines. If you are using a speakerphone, please lift the handset before making your selection. If you have a question, please press star one on your telephone keypad. If at any time you would like to cancel your question, please press the pound sign. There will be a brief pause while the participants register for questions. We thank you for your patience. The first question comes from Steve Kammermayer from Clarus Securities. Please go ahead.
Steve Kammermayer - Clarus Securities : Oh, hi, guys. Just on the solid chemistry, so you’ve started selling that in new areas, northeast, Western Canada here. There’s a lot of spare capacity there still. So what’s the constraint in wrapping up sales there? Is it just the number of trucks to build to deliver that or is it just making people more aware, growing your sales force? And how do you see that ramping up over the next, say, 12 to 18 months?
Tom Simons: I think, Steve, ah, that you described in your question kind of what the process is. As you’ve seen from visiting the facility, we do need to custom build trucks to deliver that product because there isn’t anybody else that delivers their chemistry this way, so we build our own delivery system on our trucks. I don’t know if I’d call that a bottleneck but it is a practical part of what we need to do. The way it works is we entice a customer to try to solve a problem with this product line now that we have the capability to produce more than sort of legacy demand, and that’s a new change in Q1. An example is we’re running this for one of the majors in the energy industry in East Texas on about 100 wells. They’re evaluating results. They have 2,700 wells in this field and early indications are that we have a technical success, and typically the way that would work is then they would increase how many wells you’re servicing, evaluate them for a quarter or two, and then if things continue to go well you expand with them. So, unlike drilling, it’s not sort of power packed where you jump on a rig and create $10,000 a day of revenue. You take bites of fields and if you succeed then they slowly ramp you up as they gain confidence. What’s new for us is that as customers want to increase their buy, we’re able to produce the product and sell, and for a long time JACAM was very bottlenecked or range-bound on that, so there wasn’t a lot of promotion of the product, and it really wasn’t able to be properly utilized as a tool to grow the business. So we wanted to highlight it in the quarter, or quarterly call, all four reactors are live and running. As people may know, we did an investor day there not quite a month ago. We were kind of wisecracking at the end of the session that come back in a couple years and we’ll probably have knocked the wall off the end of that building and we’ll have ten of those reactors running. That novel way of delivering that chemistry works, it’s unique to us, and I think we’re going to be committed to using it to the full benefit of the company.
Steve Kammermayer - Clarus Securities : Okay, great. Maybe just switching gears a little bit here, getting into frac chemicals and bringing Dave Horton on board, so I’m just wondering if you had any comments of, you know, the EPA was out again last week saying they’re going to start looking at requiring details on the health and safety of the chemicals and what chemicals are being used. Would that affect any of your proprietary secrets, I guess, from the JACAM chemicals if that gets out or how do you see that affecting you guys if that in fact does come to fruition?
Tom Simons: Our view, Steve, is that we’re already required to make full disclosure through MSDS for the workers that are on these locations. All of our chemistry either needs to be on what’s called TSCA or a DSL list. So TSCA is U.S., Canada is DSL. All of our chemistries are openly disclosed to the workers already, which means that the customer knows what our chemistries are. What they don’t know are exact concentrations and then how you built that chemistry. So how long did you cook a part of the chemistry, to what temperature, and then exactly what ratio did you blend it with something else. So we’re already in full disclosure mode. Don’t think that those changes do anything but hopefully build confidence with the public so that there isn’t as much resistant to fracking technology and we don’t think we have any competitive risk because we’re already doing that as required.
Steve Kammermayer - Clarus Securities : Perfect. Thanks a lot, guys. Great quarter.
Tom Simons: Thank you.
Operator: Thank you. The following question is from Jason Sawatzky from AltaCorp. Please go ahead.
Jason Sawatzky - AltaCorp Capital : Good morning, guys.
Tom Simons: Good morning, Jason.
Jason Sawatzky - AltaCorp Capital : Tom, just looking at Canada here, obviously, you know, another strong quarter. Op days were way up. Just wanted to get a sense of some of the plays, if you can maybe provide some colour. We know you’re doing very well in the Montney with the EnerCLEAR product, just wondering if you can provide some more colour on maybe some of the other plays and how the growth has gone in maybe the Bakken, Duvernay, Horn River, and have you moved that EnerCLEAR product into some other plays.
Tom Simons: We’ve run that product in probably ten plays. I’m not sure that it’s appropriate that we talk about each and every formation but where there’s application is where the formations are over-pressured and where they’re very consolidated. Those typically mean that you’re drilling those wells with oil-based mud that has a lot of weight material or this ground up mineral called barite. So where we can replace that heavy oil-based mud with a water-based product that we change the density with salt and then manage the corrosion, that’s usually where you can drill faster. So as you guys look at what operators are able to find liquids in or at these gas prices can make money in gas, that product has application where it’s over pressured and consolidated.
Jason Sawatzky - AltaCorp Capital : Okay, great. Okay. And then just looking at the production chemicals, just wondering if you could, you know, in terms of selling the production chemicals into the oil sands, what do you think the timing is on that? Is that going to be more a Q2 event or do we see that later in the year?
Tom Simons: I’d like to say that that can turn on a 90-day time period but if we can do something strategically, I’ll call it, to enter that space, that could accelerate it, but just organically that could take as much as a year or two. The buyers are very—I want to characterize it the right way—very selective there. When you get in you stay in. Obviously the stakes are huge, the spends are mind-boggling. So we’re working on ways to be in that market that could accelerate organic—the organic method is attract the talent that has a history there, that the customers trust, and then live with the overhead of that talent until you can convince someone to hire you. So that’s obviously a slower process. If that’s the one that has to go, then that’s what we’ll do. We do have some people in PureChem now that have significant experience there but we don’t have clients there yet, and keep highlighting we’re focused on it because, you know, if caps forecast to get to three million barrels a day by 2020 happens, they also predict that the operators will spend $800 million a year on chemistry to make that go around. We obviously want to be in that space. And what we come to it with is the ability to make all the molecules. If we started the mud company vertically integrated 13 years ago, you know, our growth profile as a business has been nice but, you know, we started this using wholesalers with just-in-time inventory where our costs were high and our product offering was pretty narrow. Going into the oil sands basic in chemistry, it’s pretty exciting for us, but we’re not there and would caution people that it might be slow getting into it.
Jason Sawatzky - AltaCorp Capital : Okay, great. That’s great colour. And then just finally on the Permian, you know, once you guys get that barite facility completed in late Q3, you know, and some of those bottlenecks are alleviated, just wondering what type of growth you would expect in the Permian. And I don’t know whether you can characterize it by number of rigs. So if you’re on 40 rigs right now, you know, if that facility is completed could you ramp that up to 60 rigs fairly quickly? Or how do we sort of think about that?
Tom Simons: It’s hard for us to credibly say what the timeline will be, but I don’t think it’s unrealistic that we could get to that rig count that you noted, it’s just whether it takes, you know, 6 months or 18 months. But we’re very confident of the talent we have on the ground there. We kind of made the tour of Texas last week. Our own people are very excited about this new clay-free oil-based mud, they’re very excited about this MMH mud, and are eagerly awaiting this barite mill. We think we can do some positive damage with that second liquid mud plant. So, you know, I don’t think we’ll repeat necessarily what we’ve done in Canada, getting a third of the market, but when you get a localized market with 400 to 500 rigs and you have what we think is the best team in town, I think those guys will go up.
Jason Sawatzky - AltaCorp Capital : Yeah, for sure. Okay, great. Thanks, guys.
Operator: Thank you. The following question is from Keith Schaefer from OGIB. Please go ahead.
Keith Schaefer - OGIB: Tom, Craig, can you give us a little bit of colour here on this disposal, ah, (inaudible). You mentioned it for SAGD; you mentioned it for regular drilling. Can you tell us kind of what, ah, how you might be attacking this a little bit differently or what you’re noticing from the E&P side in terms of importance of this?
Tom Simons: I think the importance for the customer sort of tracks what the regulations are and both countries are starting to get more and more concerned about contamination of groundwater and they’re getting more concerned with use of fresh water to drill and complete and produce these different formations. Specific to the oil sands opportunity, we’ve developed a technology that can be mixed with the cuttings that the mud cleans out of the hole while drilling. It’ll stabilize those cuttings and allow the operator to properly dispose of them without adding truckloads of sawdust, which increases the volume that you eventually take to a landfill. We’re excited about that. We’ve put a lot of science and time into that and worked with one of the majors to see if it works on sort of a trial basis, which it does. About disposal in general, we’re not in that business in the U.S., we are in that business in Canada, we do not operate landfills or disposal wells, we provide sort of intellectual capabilities to the operators to help them develop plans on where to take this waste and how to stay onside with regulations, how to reduce water consumption, track water consumption, and not contaminate groundwater. So, as rules and requirements are heightened, the need for that service grows with them, and that’s what Clear Environmental does.
Keith Schaefer - OGIB: Are you guys seeing that side of the business on a larger role? I mean you guys don’t segment out your business divisions but do you see that taking an increased percentage of business over time here? In a significant way?
Tom Simons: I don’t know, Keith, if it’ll be big enough to move the needle in an $800 million a year business like we have, but it is a way for us to grow Clear and, maybe more importantly, it’s a way for us to continue to create value for mud and production chemical customers and kind of in general distinguish our brand or company as somebody that does things better than others. So it’s accurate that the customer needs this, we’re at the front of the pack in terms of proving that solution, but is it going to be a major part of our revenue and earnings? No, it won’t. But it is a nice add and there’s absolutely no CapEx inside of clear, so if can go from making $1 a year to $2 a year, we can put all of that money into the dividend.
Keith Schaefer - OGIB: Thank you.
Operator: Thank you. Once again, please press star one for any questions or comments. We have no questions at this time. I would now like to turn the meeting back over to Mr. Simons. Please go ahead.
Tom Simons: I’d like to thank the callers for joining us this morning. I’d like to thank our employees and customers for what was a great winter and quarter. We’re very optimistic about the balance of the year and even into Q1 next year. Probably, as usual, we’re going to remain sort of conservative on how we run the business, how we guide people to expect results to be. We haven’t seen the rigs move out of break-up yet in Canada so we’re not certain, but commonsense tells us that our customers, if they can responsibly deploy their cash flow, are going to spend all of it. We think that we’ve got ideas that our competitors don’t have and we are excited about new things that are coming on line in the business in sort of an increasing or growing market. With that, we’ll wrap up the call and say thank you.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time and we thank you for your participation.